Sean D. Mcguckin: And welcome to the presentation of Scotiabank's 2013 First Quarter Results. I'm Sean McGuckin, Chief Financial Officer. Rick Waugh, our CEO, will lead off with the highlights of the first quarter. Next, I will go over the first quarter financial results, including a review of business line performance. Rob Pitfield, our Chief Risk Officer, will then discuss credit quality and market risk. Rob will be followed by Brian Porter, our President, who will provide an outlook for each of our business lines for the remainder of 2013. We'll then be glad to take your questions. Also in the room with us to take your questions, Scotiabank's business line group heads. We've got Anatol von Hahn from Canadian Banking; Dieter Jentsh from International Banking; Chris Hodgson from Global Wealth Management; Mike Durland and Steve McDonald from Global Banking and Markets. As with prior calls, we also have joining us Sabi Marwah, Vice Chairman and Chief Operating Officer; Jeff Health, our Treasurer; and Stephen Hart, our Chief Credit Officer. Before we start, I would like to refer you to Slide #2 of our presentation, which contains Scotiabank's caution regarding forward-looking statements. Over to you, Rick.
Richard Earl Waugh: Thank you very much, Sean. Well, we are certainly pleased to announce an excellent start to the year with our strong and diversified contributions from all our business lines. Scotiabank generated net income of over $1.6 billion, and that represented 13% year-over-year growth. Earnings per share were $1.25 for the quarter, and excluding the $0.08 real estate gain in the first quarter of last year, earnings were up 12%. Return on equity was a solid 16.6%. Of note, top line revenue growth was strong again this quarter, growing by more than 12% or 15%, excluding the real estate gain last year. Our industry-leading productivity ratio was 53.5%, and we delivered positive operating leverage this quarter. Expense management remains an ongoing priority. And of course, we completed the ING DIRECT acquisition early in the first quarter, and the transition is progressing well. ING DIRECT is a game-changer, as it provides an independent brand and a self-directed service channel to nearly 2 million customers and $30 billion in retail deposits. It also firmly positions us as the third largest retail bank operating in Canada based on market share of personal deposits and lending in Canada. The credit environment continues to be stable this quarter, as evidenced by the improvement in loan loss provisions versus last quarter. The banks' credit portfolios continue to perform well and within our expected ranges and risk appetite, even under modeled stress scenarios. This is a reflection of our well-recognized risk management capability. This also reinforces our belief that Canadians remain in good shape regarding their residential mortgages. Delinquency is stable, and losses continue to be insignificant. Our capital ratios remain strong by international [ph] standards. As of January 31, 2013, our Basel III all-in common equity Tier 1 ratio was 8.2%, and is well above the international Basel III requirements, and we'll continue to build this going forward. Accordingly, with the strong level of earnings, our strong capital position, we are increasing our quarterly dividend by 5% or $0.03 to $0.60 per share. Looking at Slide 5, this strong performance this quarter from all our business lines continues to show the strength of our diversified operating model and was driven by strong top line revenue growth. Canadian Banking had a strong quarter, with good revenue growth, along with the solid contribution from ING DIRECT. We continue to see very good organic asset and deposit growth in our existing businesses, as well as a positive impact from the launch of our Scotiabank American Express credit card. International Banking had a very good quarter, with strong asset and deposit growth, particularly in our Latin American business, which operates in higher growth markets. Rising PCLs are in line with asset growth and some continuing soft economic conditions in the Caribbean, but even those are well within anticipated levels. Global Wealth Management had a good quarter, with both our Wealth Management and our Insurance businesses contributing strong sales both domestically and internationally, as well as improved market conditions. We completed the acquisition of Colfondos, a pension fund management company in Colombia during this quarter, increasing our assets under management and assets under administration, and we look forward to the future contribution of this business. And finally, Global Banking and Markets continued a strong performance this quarter with broad-based contributions across all areas, with particularly good performance in the fixed income and the precious metal business, along with our corporate lending business. So with this strong start to the year and with several options for continuing generic growth, we are well positioned to meet our targets for 2013. So now I'll turn it over to Sean.
Sean D. Mcguckin: Thanks, Rick. Slide 7 shows our key financial performance metrics for the quarter. Earnings per share for the quarter were $1.25, an increase of 12%, excluding the Calgary real estate gain from last year and up 6% over the fourth quarter. Looking at year-over-year changes, Q1 earnings benefited from strong asset growth and a stable margin, the contribution from recent acquisitions, growth in wealth management and transaction-based banking fees, stronger earnings from investments and associated corporations, mostly Thanachart Bank in Thailand, and higher trading revenues, partly offsetting were higher provisions for credit losses, higher operating expenses, of which 55% of the increase was from acquisitions and lower underwriting and advisory fees. Moving to revenues on Slide 8. Revenues during the quarter were strong at $5.3 billion, representing growth of 15% from last year, excluding the aforementioned real estate gain in Q1 of 2012. The year-over-year increase reflects higher net interest income, which increased 17% due to strong growth in core banking assets across all business lines and the impact of recent acquisitions. The net interest margin was generally stable after adjusting for acquisitions. Non-interest revenues increased 7% from last year due to increased banking revenues and payment volumes, higher Wealth Management revenues, increased contributions from associated corporations and the impact of acquisitions, partly offset by the real estate gain a year ago. Quarter-over-quarter, net interest income was up 7% from both acquisitions and organic asset growth, the latter in business lending and residential mortgages, combined with stable margins. Non-interest revenues increased 5% from last quarter due to higher contributions from associated corporations, higher Wealth Management revenues and strong trading revenues, partly offset by lower underwriting fees and modestly lower transaction-based revenues. Turning to Slide 9, non-interest expenses were up $306 million or 12% from last year. Acquisitions accounted for approximately $170 million or over 55% of this increase. Underlying expense growth year-over-year was mainly due to higher remuneration costs, as well as higher premises costs resulting from the sale of Scotia Plaza in the prior year. Compared to the prior quarter, expenses were up 4%, with acquisitions accounting for 60% of the increase. The remaining growth was due to seasonally higher compensation-related expenses, lower benefit cost last quarter and higher pension cost this quarter, mainly reflecting the persistent low-rate environment. These increases were partly offset by lower expenses in almost all other expense categories. Expense management remains an ongoing priority, and we are pleased to have started 2013 with positive operating leverage. Turning to capital on Slide 10. You can see that the bank continues to maintain a strong, high-quality capital position. This is the first quarter that Canadian banks are required to report capital ratios under Basel III requirements on an all-in basis. The Common Equity Tier 1 or CET 1 capital ratio was 8.2% this quarter. This was down from 8.6% last quarter due to the acquisition of ING DIRECT. However, the CET 1 ratio increased 50 basis points from the adjusted 7.7% in the prior quarter after adjusting for the impact of the announced ING DIRECT acquisition. The 50 basis point increase included a 20-basis-point benefit from the deferral of CVA capital requirements to 2014 with the balance mostly from internally generated capital. Risk-weighted assets grew by $27 billion from $253 billion last quarter, of which, $12 billion was due to measurement differences under Basel III, $5 billion from the ING acquisition and $10 billion, or 4%, from organic growth. Our capital ratios are strong by international standards, and we will continue to prudently manage capital to support organic growth initiatives and selective acquisitions. Turning to business line results, beginning on Slide 11. Canadian Banking had another strong quarter, with income of $574 million, up $100 million or 21% from the year earlier. Revenue growth was strong at 13% with growth in both net interest income, in net fee and commission revenues. Net interest income was up 16% due to the ING DIRECT acquisition and strong organic asset and deposit growth. Residential mortgages grew 8%, while consumer auto loans were up a very strong 21% compared to a year ago. Margin decline of 10 basis points year-over-year was primarily due to ING, which has lower spread assets. Excluding ING, the net interest margin was down 2 basis points year-over-year. Net fee and commission revenues were up 5% from higher transaction-driven card revenues. Credit performance improved this quarter, with loan loss provisions down $18 million with reductions in both retail and commercial loan provisions. Operating expenses were up 12% year-over-year. Excluding the impact of ING, which was approximately 50% of the increase, underlying expense growth was driven by higher pension costs and stock-based compensation. On a year-over-year basis, Canadian Banking had positive operating leverage of $0.012. Quarter-over-quarter, total revenue increased 10% due to the ING acquisition, along with higher credit card revenues from the launch of our Scotiabank American Express cards. Also, the margin was up 1 basis point, excluding the impact of ING. Revision for credit losses declined $14 million to $118 million, with lower provisions in commercial banking, partly offset by higher retail provisions. Expenses were up 5% compared to last quarter, entirely due to the impact of ING. Moving to International Banking on Slide 12. International's earnings were $416 million this quarter, up 12% from $373 million a year ago. Year-over-year, revenues increased 21%, driven by strong retail and commercial loan growth in Latin America, combined with a positive impact of the Banco Colpatria acquisition and higher income from our investment in Thanachart Bank in Thailand. Expenses were up 16% or $131 million, largely attributable to acquisitions. As well, there are higher remuneration and technology costs largely in Latin America, due to inflationary increases and to support business growth. On a year-over-year basis, International Banking had positive operating leverage of 5.6%. This quarter also benefited from a tax recovery in Puerto Rico. Quarter-over-quarter, net income was up 4%, reflecting solid asset growth, particularly in Latin America and a strong contribution from Thanachart Bank, partly offset by an increase in provisions for credit losses and seasonal retail fees in the prior quarter. Provisions for credit losses increased $10 million from last quarter, primarily from higher retail provisions in Latin America and the Caribbean, partly offset by lower commercial provisions. Expenses were in line with the previous quarter, as higher pension and benefit costs were offset by reductions across a number of expense categories due to higher project spend in the prior quarter. On Slide 13, Global Wealth Management had solid results, with income of $301 million, an increase of 7% from last year. Revenues increased 12% year-over-year, driven by strong growth across the Wealth Management and Insurance businesses. As well, the implementation of new fixed administration fees from a cost recovery arrangement for Dynamic Funds at the end of last fiscal year now results in higher revenues offset by higher expenses. Assets under management and assets under administration grew 24% and 13%, respectively, driven by higher net sales, improved financial markets and the acquisition of Colfondos. Total revenue, approximately 83%, was attributable to Wealth Management and 17% to the Insurance businesses. Expenses were up 15% from the same quarter last year due mainly to higher volume-related expenses and the inclusion of admin expenses for Dynamic Funds, which are recovered through fixed admin fees, partially offset by good discretionary expense management. On a year-over-year basis, Global Wealth Management had negative operating leverage of 2.9%, impacted in part by the change of the mutual fund administration fee arrangement. Quarter-over-quarter, net income increased 2%, with revenues increasing 5% mainly from higher brokerage and international wealth businesses. AUM increased by 14%, and AUA grew by 7% due mainly to the Colfondos acquisition. Expenses were up 6%, mainly reflecting higher volume-related expenses and pension costs. Looking at Slide 14, Global Banking and Markets continued its strong performance this quarter, with earnings of $399 million, an increase of 28% or $88 million from last year. This growth reflects strong revenues across the business platform, coupled with good expense management and lower taxes. Year-over-year, revenues increased 12%, primarily driven by strength in the fixed income and equities businesses, as well as solid corporate loan growth. Provisions for credit losses remained very low, declining $6 million to $5 million. Expenses were up 4% over last year, reflecting higher performance-based compensation and the impact of the Howard Weil acquisition last year. On a year-over-year basis, Global Banking and Markets had positive operating leverage of 8%. Quarter-over-quarter, income increased modestly by $4 million, with higher revenues in precious metals and fixed income and from the European lending business were partly offset by lower underwriting and advisory fees. Expenses increased 4% from last quarter due to seasonally higher stock-based compensation, as well as additional support costs. I'll now turn to the Other segment on Slide 15, which incorporates the results of Group Treasury, smaller operating units and certain corporate adjustments. The results primarily reflect the impact of asset liability management activities. The Other segment reported net loss of $131 million this quarter compared to a net loss of $136 million last year, excluding the sale of the Calgary real estate asset in the prior year and compared to a net loss of $118 million in the previous quarter. The year-over-year reduction of $5 million was due to higher net securities gains, mostly offset by lower revenues from asset liability management activities. That concludes my review of our financial results. I'll now turn it over to Rob who will discuss risks.
Robert H. Pitfield: Thanks, Sean. The risks in our own credit portfolios continues to be well managed. Our provisions for credit losses on impaired loans remain in line with expectations, increasing by $45 million year-over-year, but declining $11 million quarter-over-quarter to $310 million. Our net impaired loan formations were $349 million, an improvement from the prior quarter. Our market risk remained low and well controlled. Our average 1-day all-bank VaR was $17.4 million versus $19 million in the prior quarter. There were no trading days losses in the first quarter compared to one in the previous quarter. Our exposure to Europe is not significant, although slightly increased from last quarter. With respect to our mortgage portfolio, we performed our ongoing stress test in this portfolio, and the potential losses are manageable under a severe economic downturn, given the diversified composition of the portfolio, the high percentage of insured [ph] exposures and the low LTV in the portfolio. This is further supported by sound risk management oversight and proactive risk mitigation strategies. Slide 18 shows the trend in provisions over the past 5 quarters. As you can see, provisions have declined in the Canadian Banking portfolios year-over-year and quarter-over-quarter in both retail and commercial. Our Canadian retail portfolio remains extremely high-quality, with 94% of our assets secured and relatively low exposure to unsecured loans and credit cards. International retail provisions increased $46 million year-over-year, driven by the acquisition of Banco Colpatria and higher provisions in Latin America, in line with strong asset growth and change in product mix. The moderate quarter-over-quarter increase also reflects higher levels of provisioning in Latin America and the Caribbean. International commercial provisions increased year-over-year to $15 million, although relatively stable from the previous quarter. The year-over-year rise in commercial provisions was mainly related to the acquisition in Colombia or recoveries in Latin America and higher provisions in the Caribbean. Quarter-over-quarter, commercial provisions declined in the Caribbean and Central America region, partly offset by higher provisions in Latin America, primarily at Colombia. Global Banking markets had provisions for credit losses of $5 million this quarter compared to provisions of $5 million in the same period last year, and $11 million in the prior quarter. Slide 19 shows our Canadian Banking residential mortgage portfolio. Our total portfolio of residential retail mortgages is $188 billion, which includes approximately $29 billion from our acquisition of ING. Our portfolio continues to be approximately 90% freehold and 10% condo. As you can see from the slide, approximately 58% of the portfolio is insured, 42% uninsured. The uninsured portion has an average loan-to-value ratio of approximately 56%. We believe that solid economic fundamentals and the new mortgage regulation changes will enable the Canadian markets to remain healthy and balanced. The continuing low interest rate environment and reasonable economic performance should allow consumers to manage debt levels well. Credit quality and performance of our portfolio remains strong. Our disciplined and consistent underwriting standards through all of our origination channels have resulted in extremely low loan losses. We stress tested our portfolios under many severe assumptions. They've stood up well and confirmed our risk appetite is appropriate, and now I'll turn it over to Brian. To summarize on Slide 20, our asset quality remains high with retail and commercial portfolios performing as expected, and our corporate portfolio is continuing to demonstrate strength. Our combination of growth in portfolios and product mix will result in somewhat higher provisions this year compared to 2012. This is something we planned and are prepared for. We expect Canadian retail provisions to remain stable. International REIT provisions will grow in line with portfolio growth, product mix and a modest softening in economic conditions in certain countries. We expect corporate and commercial provisions to remain very modest in this time.
Brian J. Porter: Thanks, Rob. Beginning with Canadian Banking, we expect asset growth in personal lending to soften, but remain healthy as the housing market cools and consumers continue to deleverage. Our Commercial Banking pipeline remains robust, and we continue to see growth in automotive lending. We are very pleased with the acquisition of ING DIRECT. It's early days, but it's meeting our expectations. We expect to continue to do well in deposits and payments as we build on the success of recent product launches such as our new Scotiabank American Express suite of travel rewards cards. In mutual funds, we've experienced solid market share gains, and we expect to see continued growth in the sale of Wealth Management products and cross-sell of creditor insurance throughout our branch network. In business deposits, we remain focused on working closely with our partners in Global Transaction Banking to support our commercial banking and small business customers. The margin for Canadian Banking is now lower due to the acquisition of ING, but for the balance of the year, we expect the margin to stay relatively stable, as favorable changes in product mix offset the low interest rate environment and continued competitive pressures. We expect PCLs to increase in line with the projected asset growth, and we expect our loan loss ratio to remain relatively stable. Expenses have been tightly managed, and this will remain a priority, as we continue to reinvest a portion of savings from operational efficiencies to support business growth. Moving to International Banking, the outlook continues to be favorable as a result of our well-diversified regional footprint. As we explained at our Latin American investor conference in January, this diversification balances the higher growth outlook that we have for Latin America and Asia, with a more modest outlook we have for Central America and the Caribbean. Overall, we continue to expect, on average, low-double-digit growth across the division's loan portfolios for the balance of the year. Our Retail Banking segment continues to have good momentum, with a strong performance expected in Latin America. We also expect positive contributions from our new premium banking offering and from Credito Familiar in the consumer and micro finance segment in Mexico. For our commercial businesses, our loan pipeline is in very good shape. In particular, the prospects were solid for Latin America, and we are seeing significant improvements in Asia, where asset growth had leveled off in the past 2 quarters. We expect PCLs to rise modestly as we work through the credit mark on Banco Colpatria, but also reflecting portfolio growth and changes in business mix. Despite some pressures on margins, we expect them to remain stable overall due to our well-diversified business and geographical mix. We are pleased with International Banking's current trajectory and its growth prospects for the balance of the year. Moving to Global Wealth Management, our outlook is for good organic growth across all the business units in 2013 due to improved markets and our diversified business mix. Our wealth distribution businesses will be driven by better market conditions and strategic initiatives. We have experienced strong earnings in our international wealth businesses driven by asset and volume growth. The recent acquisition of Colfondos in Colombia, with $11 billion in assets under management along with our existing Colpatria business, will accelerate our scale in the region. In Canada, we continue to be focused on recruiting talent and improving advisor productivity to drive growth through new client acquisition. As well, the new Scotia iTRADE platform has been well-received. Global Asset Management continues to grow, with AUM and AUA reaching all-time highs of $131 billion and $304 billion, respectively. Net sales of ScotiaFunds have more than doubled this year, positioning us well for future growth. Our focus in 2013 is on exploring opportunities to fill product gaps, grow our distribution pipeline and better target and consider [ph] high-priority segments and markets. Our investment in CI continues to be an important strategic investment for us, and we now have in excess of $1.5 billion in assets under sub-advisory mandates with CI. Growth in insurance remains strong. Our largest opportunity is in leveraging the bank's global distribution networks, and we continue to experience improved cross-sell of insurance. This business also offers attractive revenue diversification, as it is less exposed to market volatility. Moving to Global Banking and Markets, we continue to emphasize diversification across all sectors, product areas and geographies. Global economic uncertainty will continue to create challenges that may negatively affect activity in the capital markets businesses. However, any impact should be mitigated by GBM's diversified platform, our focus on cross-sell and well-established core product areas. Global Banking and Markets continues to actively manage risk exposures and optimize capital usage. The corporate loan portfolio is expected to show mid- to high-single-digit loan growth, with loan spreads remaining stable despite competitive pressures. We continue to see challenges for loan underwriting fees in absence of a sustained increase in M&A activity. However, we are optimistic of continued improvement during 2013. Credit quality of the loan portfolio remains strong, and loan loss provisions are expected to remain modest. Our long-term strategy continues to be client focused in generating high-quality and sustainable earnings in Global Banking and Markets. We will accomplish this through our continued investment in the business, our ongoing focus on diversification across products and geographies, and by strengthening the linkage of our products and services to the core clients of the bank. Finally, at the all-bank level, as Rick mentioned earlier, we've had an excellent start to the year, and we expect to continue to build on this positive momentum. We are well positioned to meet our financial targets of 2013, and remain committed to delivering positive operating leverage through prudent expense management. Now I'll turn it back to Sean.
Sean D. Mcguckin: Thanks, Brian. That concludes our prepared remarks. [Operator Instructions] Operator, can we have the first question on the phone, please?
Operator: Our first question comes from Steve Theriault from Bank of America Merrill Lynch.
Steve Theriault - BofA Merrill Lynch, Research Division: So for Rick or for Brian, I wanted to ask on the dividend. The bank has been reluctant when I've asked in the past, but do you feel like you're now at the point where you'll likely be revisiting as some of your peers are, revisiting the dividend every second quarter? Or would you push back from that notion? And also, if I could just ask what the tax benefit was in Puerto Rico?
Richard Earl Waugh: On the dividend, we review our whole capital plan every quarter, and that includes reviewing our dividend and what have you. We certainly, in our capital management want to make sure we got a strong balance sheet, which as you see we do. We want to earmark a lot for organic growth because we have lots of opportunities, what we want to do. But we do recognize the importance, especially in these somewhat uncertain times of the dividend, and so we will look at it every quarter. We have long, century-long history of dividends, and it'll be 1 or 2 or whatever we deem is relevant in terms of maintaining our payout ratio and the opportunities we have to invest in growth. I can't say anything more specific than that.
Steve Theriault - BofA Merrill Lynch, Research Division: 1 or 2, being 1 or 2 per year?
Richard Earl Waugh: It could be, depending on -- the world is full of opportunities, but the world is still full of uncertainty. So we got to take a balanced approach so we're not going to forecast future events. We're going to take it one quarter at a time.
Sean D. Mcguckin: Our tax benefit was about $25 million.
Operator: Our next question comes from the line of Mr. Robert Sedran from CIBC.
Robert Sedran - CIBC World Markets Inc., Research Division: Question on the ING. I guess, it contributed $45 million to the quarter, but it did not close on November 1 so it seems like a full quarter impact is something in the area of $54 million, $55 million, which would seem to put it comfortably ahead of what was originally announced or the original expectation of in the area of $190 million for the first full year. So first of all, Sean, feel free to correct me if any of those numbers are wrong, but is it indeed ahead of plan? Was there anything unusual in the quarter? And as synergies kind of roll in, should we expect still more upside from just the combining of the 2 firms?
Sean D. Mcguckin: I think there's nothing unusual this quarter. It's generally within our expectations. There's a bit of seasonality in terms of deposits, seasons. For example, the second quarter should be a stronger quarter for deposit gathering like most banks, but we're generally on target from what we had thought in our business case when we looked at buying ING.
Robert Sedran - CIBC World Markets Inc., Research Division: But have you started to get any benefit from synergies yet, Sean?
Sean D. Mcguckin: No, not yet. It's too early. We've only had it for 2.5 months.
Richard Earl Waugh: Then if I could just add into that. Just in terms of when you talk about synergies, as you know, we bought this looking more at the revenue side. There is very few small things that we're doing in terms of looking at where we can take advantage of Scotiabank and ING. It really is a revenue and a growth story.
Sean D. Mcguckin: Sorry, we have gotten some yield synergies, as we had mentioned, at the time of buying ING that we'd be transforming some of the lower-yielding assets to use to reduce our longer-term wholesale funding so we've gotten a bit of pickup from that.
Peter A. Rozenberg - UBS Investment Bank, Research Division: Bu that's still something that will have an impact through the course of the year beyond the ones already received in Q1?
Sean D. Mcguckin: It will continue to grow a bit throughout the year, yes.
Operator: Our next question comes from Gabriel Dechaine from Crédit Suisse.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Just a follow-up to Rob's question there. Can you kind of walk me through what went through the funding this quarter when you integrated ING? I think your loan growth was, in absolute dollar terms, well in advance of your deposit growth, and I just want to kind of try see what was going on there. And then organic earnings growth in international, can you just put a number on that?
Sean D. Mcguckin: So on the first question in terms of -- were you looking at asset growth with ING or...
Gabriel Dechaine - Crédit Suisse AG, Research Division: Well, actually, I confused things there. I'm more interested in what the moving pieces were in the deposits, what kind of ran off and what...
Richard Earl Waugh: Let me take that. In term of deposits, what we found, as you know, we acquired ING on November 15. So we had it for a period of 2.5 months. Since we've acquired, the deposits have gone up in line with what we had expected of ING. Now it's still very early, obviously, the first quarter, but deposits went up. In terms of the loan size, which you touched on your questions, one of the things that we've done on the mortgage side is that we've announced that ING will continue to generate mortgages through its own direct model. The other means by which they had in the past been generating, we have stopped, which is through white labels and the broker side.
Peter Slan: Gabriel, it's Peter. As you know, at the LATAM Conference, we talked about the continuing growth in Latin America. In fact, that's been increasing our loan numbers at the level where they are. It helps us offset some of the soft economic conditions in the Caribbean, as well as we've seen some up growth in Asia, which is going to help us going forward. So overall, we're going to see retail and commercial being low double digit for organic growth.
Gabriel Dechaine - Crédit Suisse AG, Research Division: That's just -- that's loan growth, right?
Peter Slan: That's correct. Deposit growth at this point, we hope to be very close to that number, if not, higher.
Gabriel Dechaine - Crédit Suisse AG, Research Division: And actually, I was asking about the earnings number. What was the -- because you've had Colpatria only for a couple of weeks last quarter of -- or the same quarter last year and a full quarter this year. I'm just wondering if you normalize for that, what would have been your organic earnings growth rate?
Sean D. Mcguckin: Yes, when you look at the -- we've often talked about the 3 divisions: Latin America, Caribbean, South America and Asia. So Latin America got most of its lift from Colpatria. Caribbean was flattish, and Asia was up a bit, primarily from the Thanachart Bank gains we saw this quarter.
Gabriel Dechaine - Crédit Suisse AG, Research Division: And that was normalization as you've been alluding to?
Sean D. Mcguckin: Yes, at this time last year, they were still recovering from some of the flooding they had.
Operator: Our next question comes from the line of John Aiken from Barclays Capital.
John Aiken - Barclays Capital, Research Division: Just to press again on the ING acquisition, the domestic margins, I do appreciate that you tried to give us some measure of guidance when you said that you expected margins to remain in line. But if we actually are going to get an uptick in yield and we look at the performance, the domestic platform this quarter up just over 1.5% in terms of loans, but margins flat to uptick, could we actually potentially see a surprise in domestic margins from the ING acquisition as you start to deploy this liquidity?
Sean D. Mcguckin: I wouldn't expect anything significant in terms of surprises. Again, we would expect relatively stable margins throughout the rest of the year, each quarter bumping up or down, 1 or 2 basis points.
Operator: Next question comes from line of Peter Routledge from National Bank Financial.
Peter D. Routledge - National Bank Financial, Inc., Research Division: I have a question for Anatol, but not about ING. Quarter-over-quarter, you're up $40 million -- sorry, $93 million, and $45 million comes from ING. That means more of the gain came from non-ING. Can you give us some color of where you're getting that from?
Anatol von Hahn: Yes, a couple of things. One, something that we're seeing in the market and I think you're seeing it as well in some of the other banks, more of the mortgages, the variable rate mortgages that were booked 1, 2 and 3 years ago, as they're coming due now, are taking 3-, 4- and 5-year fixed-rate mortgages. That's giving us a lift on the margin, and you've heard that in the comments that Brian made earlier. In addition, and on the commercial side, we had very low provisions, and you saw that in Rob's presentation. That, over time, I don't think is sustainable, but we had a very, very good quarter in terms of provisions in the Commercial Bank, and the other is that expenses are constant. If you take out ING out of the expense side, we've actually had a slight reduction, which has allowed us to have the type of earnings that we have.
Peter D. Routledge - National Bank Financial, Inc., Research Division: On the variable rate issue, you're taking variable rates, swapping into 3 to 5, I get that. Are you getting more of a pickup because you're more active in the broker market? Is that where that's coming through?
Anatol von Hahn: No, no. If you go back a little bit, the spread that was being made on variable rate mortgages at the time when they were booked was less than what we're making on the spread on the fixed-rate mortgages that are now being booked. So it's not a question of channel. What we do have, which I think might be your point about the channels, we have 3 different channels through which we distribute, and they are all doing very, very well in an environment where, clearly, mortgages are -- there are less mortgages on the market than there were at this time last year.
Operator: And your next question comes from the line of Mr. Michael Goldberg from Desjardins Securities.
Michael Goldberg - Desjardins Securities Inc., Research Division: When I look at your risk-weighted assets, they're up about $10 billion organically from the previous quarter, which looks like about 3.7% sequential growth on a Basel III basis, apples versus apples, are almost 15% annualized, and that, you say, is just organic. Is that pace of growth sustainable or is the organic growth in the first quarter risk-weighted assets exceptional and likely to slow down?
Sean D. Mcguckin: I would say it'll likely slowdown from that pace. This quarter, we had some higher market risk capital. I wouldn't expect to keep growing in that same pace so that will likely level off, and International Banking came in quite strong this quarter, and we'd expect maybe not as high as that, but overall, I think this would be higher than what our normal quarter would be for risk-weighted assets growth.
Michael Goldberg - Desjardins Securities Inc., Research Division: So what would you guys think would be a more normal level?
Sean D. Mcguckin: Growing maybe 2% to 3% a quarter, risk-weighted assets, but 8% for the year is generally where we target.
Operator: The next question comes from the line of John Reucassel from BMO Capital Markets.
John Reucassel - BMO Capital Markets Canada: And sorry, Anatol, I just want to go back to ING. On Slide 26, you did a footnote there that, well, almost $23 billion of deposits are in the personal deposits. So I'm just trying to understand or clarify what was the deposit base when the deal closed on November 15?
Anatol von Hahn: Right. The total deposit base was $30 billion when you add it all up. What we've done since then is some of the funding -- the excess funding has been moved over into Scotiabank so this is, I think, a good point. As you look into the future and in future quarters, ING as a standalone unit, you won't be able and we won't be able to show it that way, as part of the funding comes into the Scotiabank world, it comes into other parts and other businesses.
Sean D. Mcguckin: Now just in terms of deposits, the -- there's about $30 billion of deposits, of which, $28 billion on a spot basis are retail and about $2.5 billion commercial. Why you see a low amount on the averages, again, because we had only 5/6 of a quarter. That's why you see the lower number on the retail deposits.
John Reucassel - BMO Capital Markets Canada: Okay. So on a spot basis, $28 billion came over and then -- into the Canadian Banking and then $2 billion went to corporate and other?
Sean D. Mcguckin: No, no, no. We brought in $30 billion of deposits, of which $28 billion were retail and $2 billion or so were commercial.
John Reucassel - BMO Capital Markets Canada: Okay, okay. Then just lastly, just to clarify [ph] , so were there any integration costs you incurred during the quarter and do you still feel comfortable? I think, Sean and Anatol, you talked about a 6% to 6.5% deposit growth, is that still something you feel comfortable with?
Anatol von Hahn: Yes, there are no costs relative to what you call integration. As I mentioned earlier, ING is running and will continue to run as a separate entity so there aren't integration costs, as you call it. What there are, there are a number of initiatives of where we'll be working together or coordinating and working together.
Richard Earl Waugh: And in terms of the deposit growth, at the time of the acquisition we said for 2013, we'd be projecting about a 4% deposit growth, and for the first quarter, it's generally line with that on that pace.
John Reucassel - BMO Capital Markets Canada: Okay. So the 6.5% was to -- I misremembered that, is that what I did?
Sean D. Mcguckin: Yes, we said the first couple of years in the business case, we had 4% to 5% and then stepping up thereafter, years 3, 4.
Operator: Our next question comes from the line of Sumit Malhotra from Macquarie Capital Markets.
Sumit Malhotra - Macquarie Research: First, for Canadian Banking. This is going to be for Sean or Anatol. If I look at Page 4 of the supplemental of what you call other assets, just thinking about net interest margin again, the commentary around the deal had been, number one, we'll deploy some of their liquid assets into higher yielding positions, and secondly, the deposit base should be a cheaper form of funding than wholesale. If we think about those comments, I see the other assets line up about $5 billion. It certainly seems like you've got more deployment to do and obviously, I would think as the deposit base grows, you can lessen your reliance on wholesale funding. So why shouldn't we think of this quarter as the low point in net interest margin? And at least for some period, you have a tailwind coming out of Canadian Banking then as a result of this deal? Why would that be an incorrect view?
Sean D. Mcguckin: When we talked about at the close on the deal that there's about $6 billion to $7 billion of low-yielding assets that we will be converting into higher value through reducing our wholesale deposits so we've done about half of that. The other half will generally occur throughout the rest of the year. So there could be some uptick on that to your point.
Sumit Malhotra - Macquarie Research: Yes, maybe I'm focusing too much, but that other assets line here has been pretty flat for the last 2 years, and it looks like so a good chunk of those securities and repos are still on the Canadian Banking balance sheet here. So that's where, I think, mine and maybe some of the other guy's questions are coming from. But it looks like there's still a good capacity for you to redeploy that, and perhaps mark the low point in net interest margin in Canadian Banking this year.
Sean D. Mcguckin: Yes, so as I said, we will continue to deploy that. It's one of the previous questions. We have $45 million in earnings. We would expect generally to continue at that pace, maybe some slight growth through the coming quarters, but we generally are sticking to what we said at the acquisition about $180 million thereabouts in earnings from ING.
Sumit Malhotra - Macquarie Research: All right. And then my second one is for Rob Pitfield. We'll continue to try and find more earnings from you guys here. On credit quality, you've been pretty consistent in saying our loan losses are going to rise with our loan book, but we feel pretty good about the underlying metrics. When I compare your provisions and your net charge-offs, I know charge-offs can be a bit of a lagging indicator, but you've been patting your general allowance at a pretty good clip here, over $100 million over last 3 quarters. Certainly, looks like trends in formations and net impaired loans are moving in the right direction. It seems like you have some capacity to lower provisions and still be at a reasonable clip. Do you feel that's an accurate way to look at it? Or is there a few areas in the portfolio that you expect we will see deteriorating performance as the year continues?
Robert H. Pitfield: I think we're comfortable with the portfolio and trend in the portfolio. It's going to go up. It's going to be measured. We're going to plan on it. When we looked at allowances, we wanted to increase our allowances more on the international side so we're doing that in a very disciplined fashion so it's -- the message is very consistent with prior quarters, and we'll just stay the course on that.
Operator: Your next question comes from line of Mr. Andre Hardy from RBC Capital Markets.
Andre-Philippe Hardy - RBC Capital Markets, LLC, Research Division: Another question on Canadian Banking. Can you please talk about the 21% year-over-year growth in auto loans and what's driving that?
Richard Earl Waugh: Yes, let me tackle that. On the auto side, a couple of things. We've invested in that business over the course of the last 3 years, and that's a business where we have relationships with OEMs, and they're just doing exceptionally well. We also -- when you take a look at the product and the service that we have, we provide both the floor plan and get the indirect paper, and that's something that is -- a business that we've been able to leverage up and get exceptionally good results on. We expect that to continue.
Andre-Philippe Hardy - RBC Capital Markets, LLC, Research Division: Do you feel like you're gaining market share or the market is growing as fast?
Richard Earl Waugh: No, we have gained some market share. And as you know, there have been a number of transactions over the course of the last 18 to 20 months, and that's also provided us with some opportunity.
Operator: Next question comes from the line of Mario Mendonca from Canaccord Genuity.
Mario Mendonca - Canaccord Genuity, Research Division: Two quick questions on international. First, the operating leverage this quarter, 5.5%, I don't imagine that's something you'd guide us to going forward, but some outlook on operating leverage in the International segment would be helpful, and if you could sort of address that in the context of the investment spending last year.
Brian J. Porter: You're right, we're going to see expenses going up in next quarters as we start to ramp up our year. Q1 was abnormally low after a high Q4, but we generally are targeting positive operating leverage.
Mario Mendonca - Canaccord Genuity, Research Division: For the year or would you...
Brian J. Porter: Absolutely, for the year.
Mario Mendonca - Canaccord Genuity, Research Division: And then with the anniversary of Colpatria so that's next quarter. Is there anything you would highlight either in so far as the margins concern? Anything special from an accounting perspective that would cause margins to change down or up or anything like that specifically related to the anniversary of Colpatria?
Sean D. Mcguckin: No, nothing.
Operator: Next question comes from line of Mr. Brad Smith from Stonecap Capital.
J. Bradley Smith - Stonecap Securities Inc., Research Division: Yes, I have 2 quick questions. With respect to ING, what was the FTE headcount that came over? And on Page 9, just looking at the mutual fund growth there, about $15 million, if you could just discuss the drivers there?
Sean D. Mcguckin: Let me just first take the FTE, just under 1,000 and it has remained relatively constant with the normal turnover that, that business has.
Robert H. Pitfield: On the mutual funds, there's about $880 million in assets, and that is managed directly by ING and will continue to be for the foreseeable future.
Operator: Our next question comes from the line of Mr. Michael Goldberg from Desjardins Securities.
Michael Goldberg - Desjardins Securities Inc., Research Division: A question about your tax rate. Adjusting for Puerto Rico, it appears to be quite high at about 28%. Why was it so high in the latest quarter, and what rate should we be using going forward?
Sean D. Mcguckin: Are you referring to International Banking or...
Michael Goldberg - Desjardins Securities Inc., Research Division: No, consolidated.
Sean D. Mcguckin: Yes, so you talk all [ph] on a TEB basis, do you not, Michael?
Mario Mendonca - Canaccord Genuity, Research Division: Yes.
Sean D. Mcguckin: So our TEB basis was 24%. We would normally target between 23% and 26% on a TEB basis or about 20% to 23% on a non-TEB basis.
Operator: Your next question comes from the line of John Reucassel from BMO Capital Markets.
John Reucassel - BMO Capital Markets Canada: Okay, great. Just a follow-up and I apologize, Brian Porter, if I missed it. But looking forward, when you think about managing Scotiabank and CET 1, what -- when you got to the decent buffers and all these other things, what is your view on what's a comfortable range to manage Scotiabank over the next 3 to 4 years?
Brian J. Porter: Well, I'd answer it in the context and we've said this in different Investor Meetings over the course of the past 6 months or so. I think when you add all the buffers in, the industry in Canada is going to end up setting numbers around 8.5% to 9% in that range.
John Reucassel - BMO Capital Markets Canada: And would you operate at a slightly higher one than that? Just -- or what do you feel comfortable, given potential acquisition appetites and keeping dry powder?
Brian J. Porter: Well, we, as a bank, always run with what we consider a prudent buffer, and acquisitions have been a key part of our strategy. So we look at it in that fashion, John.
Operator: And the next question comes from the line of Gabriel Dechaine from Crédit Suisse.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Just a couple of follow-ups here on the -- in the MD&A, you talked about the -- well, another ING question here. You haven't finalized the fair value adjustments, I wouldn't expect to be anything major there, considering the credit quality. It's mostly mortgages and stuff like that. If you could just confirm that? And then also, on the cards business, Rob Pitfield's comments around how sound your credit quality is in Canada because of the high security nature of your book. Does that mean that you don't really want to aggressively grow your cards business right now?
Sean D. Mcguckin: I'll take the first one -- sorry, I'll let Anatol answer the card...
Anatol von Hahn: I'll take the card question. Just with respect to cards, we've done very well. As you know, we've launched our Scotiabank AMEX card. That has given us very good results. Our momentum cards are also doing very well, having very good growth. So I'd say our base is small in relative terms, but we've had exceptional results over the last 18 to 24 months, and we expect that to continue to be the case. So our card business, which is part of our payment strategy, you heard earlier on, Brian mentioned about 3 areas of focus: deposits, payments and referrals to Wealth Management. Within the payment strategy is the credit card and it's giving us very good results.
Robert H. Pitfield: Gabriel, this is Rob. I used to run credit cards so I love credit cards. And the risk quality is very, very good too.
Sean D. Mcguckin: Just to your first question on the ING acquisition accounting, yes, we expect no major changes. But we still do some fine-tuning, but we do not expect anything significant to come out of that.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Actually, just on the cards -- how much are tied to your, it was like an all-in-one product or something like that like it's...
Anatol von Hahn: Well, yes, you're thinking of step -- no, if you take a look at our product, for instance, the Scotiabank American Express Card, it is a standalone product. It's been a product that we have cross-sold and attracted new customers with. The same is true for our Momentum Cards and our Gold Card that we issued prior to that. It's not part of step -- towards your question. Having said that, we do have customers who have had and have taken credit cards in the past that are under the step program, and therefore are part of the 94% that Rob talked about in terms of our secured portfolio in the retail bank.
Richard Earl Waugh: It's right. We did consolidate under the step program so -- to give our customers a better rate, where we basically took the credit card and threw it into a mortgage-like product. That was a low-risk appetite strategy, if you consider it a strategy. And probably, in hind sight, we were too conservative on it. We got to watch what's happening here in the economies, but we're cautiously optimistic. So we were probably a little too conservative, and we'll evaluate that as we move forward and that cards will be a part of that.
Sean D. Mcguckin: All right, that concludes our call. I'd like to thank you, all, for listening, and we will talk to you next quarter.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.